Operator: Good day, ladies and gentlemen, and welcome to the MultiChoice Group's First Half FY 2021 Results Call. All participants are currently in listen-only mode and there will be an opportunity for you to ask questions later during the conference. [Operator Instructions]. Please also note that this call is being recorded. I would now like to turn the conference over to Meloy Hom. Please go ahead.
Meloy Hom: Thank you, Chris. Good morning and good afternoon, everyone. And thank you for joining us today. And I'm keeping my fingers crossed for a Friday, the 13th call that everything kind of goes on track. So our interim results for the six months September 2020 were released yesterday. And for those of you registered on our database, you would appreciate our basic email with all the information and you can view today's presentation on the webcast. And for those of you that dialed in, you can find these slides in the Investor section of our website under Reporting. So before we start our presentation, let me quickly introduce you to the speakers for today, Calvo Mawela, our CEO, who will present the highlights and strategy and will also provide you with an operational update. Thereafter, Tim Jacobs, our CFO, will discuss the interim financials. Calvo will conclude with comment on our outlook for the remainder of the year, thereafter we will take some questions. Calvo, over to you?
Calvo Mawela: Thank you, Meloy. Good day everyone and welcome to our results call. To start today's presentation, I would like you to turn to Slide 3. This slide shows a brief summary of our performance over the past six months. Despite operating in the eye of the COVID-19 storm with lockdowns, production stoppages, and the like, I'm pleased to report that our teams roll up their sleeves to take on the challenge and we delivered on all key metrics. We achieved 6% subscriber growth, and our base now exceeds the 20 million milestone for the first time. The OTT user base increased by a pleasing 26% year-on-year. We delivered solid financial results with trading profit up 19% and core headline earnings increasing by a healthy 41%. As Africa's most loved store retailer, our ongoing focus on local content geared at almost 1,900 hours, despite disrupted production in the early days of COVID-19. Our focus on managing costs continues. We delivered another R1 billion in cost savings and achieved our target of maintaining positive operating leverage. Losses in the Rest of Africa narrowed by R0.5 billion, as we drive this business towards profitability. We also launched several new products and services and continued the enhancements of our ecosystem, specifically by expanding into the high-growth area of sport betting. We're also able to renew key football rights. We'll share more about this in the next few slides. Turning to Slide 5, we'd like to remind you of our dual pronged approach to growth. Across Africa, Pay-TV penetration is still low, and satellite remains the cheapest way of distributing long-form video content to the mass market. This is likely to remain the case for some years to come, which means we still have good growth prospects for traditional broadcasting services with an addressable market of some 50 million households. We're also well aware of the opportunity that streaming services represents once Africa can call the digital divide, and consumers can get access to affordable high speed broadband. Our connected video business is well-positioned to leverage this opportunity and add incremental growth to our business over time. The ability to offer great content supported by value-added services really matters. Slide 6 shows how we think about our business and the future opportunities. Underpinned by our world-class technology, our emphasis is on offering great content across different platforms, and building an ecosystem which keeps customers engaged. We believe that whether organically or through third-parties, offering our customers not just a TV package, but an ecosystem of entertainment options will be fundamental to our long-term success, and to making our customers lives more convenient. Over the years, we build our entertainment ecosystem, which includes BoxOffice, Showmax and music streaming via JOOX. More recently, we have accelerated this build-out with the launch of several new products and services, as well as through strategic partnerships with international ICASA providers, such as Netflix. Our subscriber base of more than 20 million customers provides considerable scale, and gives us a meaningful base to continuously add more products and services, and drive network effects. We feel confident about our ability in this regard, with sports betting but one example of new products and services that can be added when one escaped. We will continue to look for new opportunities to further expand our ecosystem, thereby enhancing our customers experience and at the same time growing our revenues. Our interim results include some exciting news in this regard, which we will discuss in more detail shortly. But let's first revisit our key objectives for the financial year 2021, which we shared with you in June. Turning to Slide 7, our strategy is mainly focused on three key aspects. Our aim is to lead in content and specifically invest more in local content, to drive new opportunities to leverage our scale, and expand our entertainment ecosystem, and to deliver subscriber growth and accelerate the uptick of our OTT products. We also tasked ourselves with pursuing global digital security leadership in our technology business, and to keep driving operational efficiencies and reduce costs. Over the past six months, we have made great progress across the board. So let's look at the few specific highlights. Slide 8 highlights some of our innovative new products and services announced at the end of August. The array of new technology and product enhancements has seen us further expand our wealth of data and choice for customers, allowing them to watch what, how and when they want to. We're excited about the release of our premium sports offering Showmax Pro, fulfills on a key part of South African society and with the launch of DStv Communities, we hope to tap into the concept of collected payments to improve active base and retention by offering benefits that reward good customer behavior, such as regular and timely payment. Reward programs are popular in our market; we launched our DStv Rewards program in South Africa at the end of September with a very simple plan of rewarding customers for 10 and the number of MultiChoice products they use. Add Movies, which launched in October allows subscribers in our lower tier bouquets to top-up their current movies offering and gain access to dedicated movie channels, previously only available to Premium subscribers. We believe this will be particularly popular during the festive season and school holidays. It is early days. But so far, the tracking is exciting. Our recent agreements with ICASA players such as Netflix, and the integration of their services onto our platform, adds better depth and breadth to our entertainment offering. The DStv Explora Ultra launching this month makes it easier than ever before for DStv customers to enjoy content from third-party streaming services, with everything conveniently available on the DStv platform. And the DStv Stream which will be available in a few months will allow our customers to enjoy all the DStv and partner content they love without the satellite dish and its associated cabling. Our plan is not only to expand our ecosystem with new Pay-TV products and services; we're also looking at adjacent sectors to drive revenue growth going forward. On Slide 9, we share some exciting news in this regard. Effective the 1st of October, we made a 20% investment in pan-African sports betting business, BetKing, enabling us to the indirectly add sports betting into our entertainment ecosystem. The sports betting industry is an attractive hiring sector, which has seen a surge in growth and activity in recent years. It has been a particularly attractive market for media and content companies who have also entered into sports betting partnerships, or runs their own betting business in anticipation of increased fan engagement, revenue stream, diversification, and improved viewership. The slide shows some examples of this style, including SKY, Fox, Turner, and CBS. But it is not only traditional Pay-TV companies that are investing in sports betting, we have also seen Internet companies such as Tencent and Alibaba, making selective investments in this space. For us, the strategic fit is very strong. Not only do we anticipate similar attention and viewership benefits for our Pay-TV business, but we see this as an opportunity to invest in high-growth business to drive future revenues. We also see opportunities to enhance returns through our subscriber reach and profits for sports betting. We're very excited about BetKing's prospects and look forward to providing further feedback on this investment over time. As our business scale business, driving sustained subscriber growth is another important strategic objective for us. And Slide 10 reflects the trend. We're extremely pleased that we're able to sustain growth momentum in the first half, despite a challenging consumer environment. We added 1.2 million customers year-on-year and our subscriber base now exceeds the 20 million milestone, which makes us one of the top 10 Pay-TV platforms based on the number of subscribers outside of China. Given our strong underlying growth prospects, we believe we could soon become one of the top five global Pay-TV operators based on the number of customers. Let's now talk in more detail about our operations and kindly turn to Slide 12, where I'll start with some of our content highlights. Content is at the core of our business. And as usual, there are no shortage of highlights over the past six months. I will select a few to tell you about. As you know, local content is a key differentiator for us, despite some disruptions during the first few weeks of lockdown; we produced almost 1,900 hours of local content over the past six months, taking the number of local content hours in our library to 69,000. Our increased investment in local content not only delights our customers, it also benefits the industry as we create opportunities for new production houses to partner with us as was the case with highly successful for more. With customers spending more time at home, especially during the lockdown, we saw an increase in content creation. Although some of this stage has normalized, we were able to sustain the average viewing time at higher levels than before. One of our biggest lockdown successes was the Big Brother Naija Lockdown edition, which drove a record 915 million votes over the duration of the season. The show gained popularity not only in Nigeria, but attracted 25% of its viewership from other countries. It allowed us to keep customers connected and engaged and to promote our digital platforms. 38% of our general entertainment spend during this period was on local content somewhat lower than prior years due to COVID-19 related production stoppages and ongoing travel restrictions affecting production in the Rest of Africa. We signed deals for three new co-productions, including a safari film feature film titled Kenya, in partnership with Capstone and production giant Lionsgate. We see significant benefits in the co-production business model as it supports high-quality content, while at the same time bringing cost savings and revenue potential. In our efforts to bring customer the best entertainment, we continuously launch new channels, and make use of temporary pop-up channels to file different genres to see what resonates. We recently launched a Turkish Novelas channel, Action Channel KIX, education channel Zoomoo, and Safari channel WildEarth. At the onset of COVID-19, we committed to reducing our exposure to foreign currency content costs by renegotiating our supplier contracts into rents wherever possible. We're pleased to report that we have successfully secured local currency deals with two mega studios and will continue to drive this agenda going forward. Moving to Slide 13, in the absence of live sports, during COVID-19, SuperSports did a tremendous job adapting their lineup to key subscribers entertained. When they eagerly awaited return of Live Sport finally arrived, it did so with a host of new developments from SuperSports. This included the replacement of the channel numbering system with a thematic channel offering around individual sports codes, the release of a new more personalized SuperSports app, and the launch of two ESPN channels onto the platform. With the start of the new PSL season a few weeks ago, we kicked-off an exciting new sponsorship agreement, and the league is now granted the DStv Premiership. We also expanded our local sporting footprint through acquisition of broadcast rights today to Ethiopian Premier League, which will commence in December. And in tribute to our promise of offering the World's greatest football, we're pleased to announce that we have renewed the rights to the English Premier League and UEFA Champions League for another three years after the current agreements conclude. On Slide 14, we provide some key operational details on our South African business. We again achieved strong growth in the mass market, while also passing on an average of 4% price increase in April. We remain excited about the mass market opportunity and regard our excess base as a springboard for future revenue growth and ARPU uplift as income levels of consumers improve over time. We're already seeing some of this materialize through upgrades within the mass segment, driven by international campaigns and upgrades of the business. Moving to the middle segment, our new PSL sponsorship is a significant development, especially for the compact days. It provides us with a platform to market not only our DStv brand, but also our compelling local content offering. New shows like Gomora have kept desire from Mzansi Magic very high. We continue to drive the growth in the middle and mass segments as we have identified growth potential in this markets. Our Premium subscribers have declined; this is as a result of lack of sports and the economic conditions. The mass and middle segment growth provides a customer base to upsell into premium as the economic circumstances change for the better in our market. As mentioned earlier, we have introduced several new products and services such as DStv Rewards, Add Movies, and DStv Communities as important tools to improve retention and ARPU. Due to COVID-19 lockdown, we're able to accelerate some of our digital plans. While our call center is now fully functional offsite, we have seen a marked reduction in call volumes, and have encouraged our customers to utilize our digital customer care options. The launch of a new self-service app MyDStv further enhance the digital customer experience. Slide 15 reflects the key performance metrics for the South African business. We were pleased to grow our subscriber base by more than half a million subscribers' year-on-year despite challenging times. Growth in premium was impacted by the loss of Live Sports for most of the reporting period with some key sports such as Rugby only fully returning after the period end. The year-on-year decline of 9% was exacerbated by an elevated prior-year base as a result of the Rugby World Cup. Our detailed pricing research informed our decision not to process a price increase in the Compact bouquets this year, given the heightened level of indebtedness, and consumer pressure in this segment of the market. This has allowed us to grow the middle segment by 2%. As mentioned, our mass market segment grew a strong 17%, ARPU in this segment was up 8% year-on-year as we benefited from clear upgrades within the segment. Overall ARPU declined 5% partly due to the mix effects, with the base shifting towards the mass market, but also as a result of lower commission subscription revenue due to COVID-19 and the regulated closure of the Hospitality sector for some time. Customer active days is also down 1% year-on-year because of the change in subscriber mix. Now turning to Slide 16, the Rest of Africa team executed very well. Despite an operating environment that remained changing. Almost 300,000 net additions in the first half was at a five-year high if you exclude the FIFA World Cup here, as the graph shows. We're particularly excited about the re-launch of our Ethiopia service, the latest iteration of our localization strategy, which includes enhancements of local language and sports content and the introduction of local currency payment options. As part of navigating the COVID-19 pandemic, we have also taken several steps to support and improve the customer chain, including a successful "We've got you" campaign to support retention and reconnections during difficult period for customers. A renewed focus on our digital payment channels improve customer convenience, while reducing failure rates and costs for the business and ongoing self-service enhancements to improve the quality of our customer relationship. We have also moved our call center into the cloud to allow our call center agents to continue servicing our customers from home when necessary. Slide 17 provides a quick snapshot of development in some of our largest markets. In Nigeria, our largest market outside South Africa, we grew subscribers by 8% year-on-year. With our regionalization strategy enhancing customer reach. We successfully migrated the base to new localized retailers, resulting in some revenue uplift and were able to implement formal price increases ranging from 5% to 13%. Although the NIRA has held up well year-to-date, liquidity has been type of an issue, resulting in some country cash build up at the end of September; this balance amounted to US$166 million of which around 50% is attributed to the liquidity constraints. While this situation is not new for us, and remittances have flowed from time-to-time, it does provide a challenge and we're monitoring the situation closely. In Kenya, subscriber growth amounted to 6% year-on-year with a healthy 10% growth in DTH. Zambia's performance has been affected by the power crisis. We have seen some recovery in our base year-to-date. We're hopeful that the additional capacity to be added to the electricity grid imminently truly improved trading conditions. Although the Angolan economy contracted further, and currency depreciation remains problematic, we're able to offset a weaker exchange rate through a 19% price increase this year. In addition to a 47% increase last year. And losing only 7% of our subscribers in this conditions, is in our view, quite a commendable performance. Another significant success in this market was our ability to renegotiate our content contracts down by almost 30% while also incorporating a more a equitable sharing of ForEx service going forward. In Zimbabwe, we have seen a surprisingly strong recovery of subscriber numbers, mainly driven by reconnections during the lockdown period. Combining the impact of the many moving parts across the remaining markets that make up our Rest of Africa footprint, Slide 18 shows solid subscriber growth year-on-year of 6% to 11.4 million households. The loss of Live Sport affected the subscriber mix, resulting in pressure on the Premium segment, which remains flat. The return of football has since triggered renewal growth in the middle segment, which ended up 13% year-on-year, while the mass segment grew a more modest 6%. Price increases which were processed in all markets except Zimbabwe averaged 8%. Incorporating the impact of the migration to new bouquets in Nigeria, results in a positive effect of 16%. Blended ARPU was up 7% year-on-year in South African Rand supported by healthy attraction of the higher price family and GOtv Max bouquets and benefiting from translation at a weaker South African Rand. Turning to Slide 19, our connected video business which provides streaming services under the Showmax and DStv brands continues to enjoy solid user growth, increased viewing time per user, and strong growth in play events. Following the success in South Africa, we introduced Showmax "Add to Bill" in Nigeria and Kenya. We will shortly be rolling this series out in other key markets across the Rest of Africa too, as it not only allows us to drive growth of the Showmax paying base, but also to improve retention of the overall Pay-TV base. We recently launched a free ad-supported tier to Showmax which will enhance the experience of travel users and encourage customers to upgrade as they get hooked on our local shows. The release of Showmax Pro from July was a key highlight for us. This service, which features all EPL, La Liga, Seria A, and PSL games, amongst other Live Sports events from SuperSports is unparalleled in the OTT space on the continent, and is a key differentiator for us. To recap on our current footprint and service offering, our Showmax offering is available across 46 markets in Rest of Africa. Together with Showmax Pro and cheaper mobile plans, we see value in the rollout of localized offerings, which provides local currency dealing, localized payment options, and a more dedicated local content strategy. We now have four localized versions of the product, including respect to launch Ghana. Slide 20 provides an update on Irdeto, our technology business, which continues to pursue global digital security leadership. In financial year 2020, we flex two large automotive OEM customer wins. One of them is Gene Hyundai is incorporating Irdeto's Keystone technology into all new models, with 50,000 manufactured vehicles already in the market to-date. Having launched our trusted home product this year, it was extremely gratifying to be recognized as most innovative product at the Cybersecurity Awards in September. Our objective is to leverage ongoing successes like this in connected industries to grow revenues from our new line services. In first half of financial year 2021, new service lines accounted for 31% of Irdeto's revenues, up from 28% in the first half of 2020. Meanwhile, in our whole media security business, Irdeto continued to gain market share with customer wins in both traditional broadcasting and streaming segments. And while we can't comment publicly on all our OTT customers, we're proud that Irdeto is now growing to become a security partner to five of the six largest global OTT players. This concludes the operation sections. I would like now to hand over to Tim for the finance section.
Tim Jacobs: Thank you, Calvo. We will start our financial highlights on Slide 22. COVID-19 provided some specific challenges to the business with our subscriber mix, advertising revenue, and commercial subscription fees being the most impacted. Despite this, we're able to grow our revenues, while tight cost control and reduced losses in the Rest of Africa underpinned margin expansion. This lead to substantial growth in core headline earnings, and we generated solid cash flows. Our balance sheet remains strong, which provides us with financial flexibility to drive growth and shareholder returns. Slide 23 provides a quick look at a financial synopsis of the Group. The percentages that are shown in brackets are the organic growth numbers, which excludes the impact of currency translation and M&A. We delivered revenue of R26.1 billion at the six month period representing 2% nominal growth but a 1% organic decline from the prior-period. Our trading profit grew to 19% to R5.7 billion or 38% organically. Our core headline earnings were up a significant 41% year-on-year to R2.7 billion. And while our free cash flow was down 13% to R2.1 billion due to the strategic CapEx investments in our billing systems, it remains healthy. On Slide 24, we take a deeper look at our revenue numbers, starting with subscription revenue and its key driver subscriber growth. Just to remind everybody how the graphs work. If we start with the graphs on the left-hand side, we present 90-day active subscribers with the bottom of the stat being South Africa and Rest of Africa above. The corresponding subscription revenue numbers are presented in the graph on the right-hand side. As we have mentioned, COVID-19 has had an impact on our revenue performance the six-month period. While we have continued to see strong demand for our products, even with the easing of lockdown restrictions in most markets, the subscriber mix was affected by the absence of Live Sports in the majority of the period, some of which especially our Premium sports offerings, such as Rugby only returned in October. In addition, a loss in subscription fees from commercial customers such as hotels, restaurants, and gyms, who are unable to trade for most of the reporting period due to lockdown restrictions, has weighed on revenue growth. Despite these challenges, we grew subscription revenue a solid 5% for the Group. Subscription revenues in South Africa increased a modest 1% to R14.3 billion, with a strong 7% subscriber growth in price increase processed in the mass markets negated by the factors mentioned above. In the Rest of Africa, we saw subscription revenue growth of 12% to R8 billion, some of which was attributable to the weakening of the Rand related to in-market currencies. Although not presented on the graph, if we strip out this currency effect, the segment still achieved organic subscription revenue growth of 6%. The benefits of price increases and the Nigeria BetKing migrations was somewhat negated by the impact of COVID-19 on the subscriber mix. Turning to Slide 25. Here we look at the total revenue numbers for the Group, with the graph on the left-hand side also incorporating our technology business addition. I'll talk mainly to the graph on the right-hand side which looks at revenue by nature, as the trends seen here logically being the drivers of our segmental revenue performance. Firstly, we see that 85% of our total revenues derived from subscription revenue, which grew 5% overall, and has kept our top-line somewhat resilient during the pandemic. Our technology revenues declined slightly year-on-year to R900 million. While the data benefited from new customer wins, as Calvo mentioned earlier, year-on-year performance was impacted by one-off project revenue of $8 million generated in the prior period, as well as deferrals of certain revenue due to COVID-19, as customers tended to delay decision making on project type work. Advertising revenue was the hardest hit by COVID-19, given the lack of sport advertising in a generally softer advertising market as a result of low economic activity. It declined 34% compared to the prior period to R1.1 billion. However, this is beginning to stabilize with revenues for the month of August and September approaching pre-COVID levels. The impact of exercising revenue is more pronounced in the largest South African markets and was a key driver of the 3% decline in total revenues in this business segment. Other revenue remained relatively flat year-on-year despite a loss of sublicensing revenue due to sporting delays. Slide 26 reflects our operating leverage on an organic basis. Our target is to keep organic growth and operating expenditure below revenue growth. This year, we were able to reduce our operating costs by 9% organically, some of which was driven by changes in the timing of content amortization that should normalize for the full-year; while the rest was off the back of tight cost control and the early implementation of cost-cutting initiatives. Compared to organic revenue, which was down 1% year-on-year, this resulted in an improved operating leverage of eight percentage points. We have stepped up our cost saving focus again as a means of protecting against potential impacts of COVID-19. This is bearing fruit with R1 billion in cost saving reported for the first half of the financial year. This amounted to 5% of our total cost base and while annualizing this number is not an indicator of full-year expectations, we're well on track to repeat the R1.4 billion in cost savings achieved in financial year 2020. Although our cost saving program still spans the entire business and a broad range of initiatives contributed, content savings accounted for around 65% with refunds negotiated as many of the sports events either curtailed or competed in a more condensed time period, reducing the broadcasting benefit for us. We also renegotiated certain content contracts, which resulted in bankable savings. Slide 27 provides detail on our profitability. The Group increased its trading profit by 19% or 38% organically to R5.7 billion. This resulted in a three percentage point expansion in margins from 19% to 22%. Considering the trading environment, this is a very strong performance and was underpinned by our cost saving efforts. While shift in the timing of content amortization we're able to offset the revenue impact of COVID-19. The graph on the right-hand side shows each of the different business segments. South Africa's trading margin improved from 30% to 35% driven by few main factors, the doubling down on cost saving initiatives, the non-recurrence of the three major sporting events that drove additional content marketing spend in the prior period, and the temporary shift in content amortization due to the delays in the commencement of certain sporting events. In the Rest of Africa, we saw strong improvements in operating results, with a R492 million reduction in losses year-on-year or R1.2 billion organically. Consequently, the negative margin narrowed from minus 11% to minus 4% for the six-month period. The Technology segment saw its trading margin normalize to 28% given the benefit of high margin one-off project revenue earned in the prior-period. Moving to Slide 28. By now you will be familiar with our trading profit bridge for the Rest of Africa, showing our progress towards moving this business back to sustainable profitability. So starting on the left-hand side of the graph, we show the R830 million trading loss for the prior period. We estimate that COVID-19 and an impact of around R650 million on the business driven by the change in subscriber mix and loss of commercial and advertising revenues. However, this was more than offset by content savings of R754 million during the period. And during the last six months, we generated an incremental 528 million from subscriber wins and 608 million of other gains through price increases and cost saving initiatives. This resulted in Rest of Africa reaching profitability on an organic basis, with an organic trading profit of R411 million. While we acknowledge the first half of the year is seasonally strong for the Rest of Africa, this is still a significant milestone for us on our path towards profitability. Our translated performance still face points of currency volatility during the period. We included a net foreign exchange loss of R749 million, driven primarily by the depreciation in the Angolan Kwanzaa, Nigerian Naira, and the Zambian Kwacha against the U.S. dollar. Although the results of these currency movements was a R358 million net loss for the period, it still reflects a significant R492 million or 59% improvement on the prior-year. We have consistently delivered in narrowing the losses at each reporting period. We believe we're still on track to return the Rest of Africa business to profitability over the medium term and are still fighting the good fight. However, the uncertain longer-term impact of COVID-19 affects the economies and currencies may cause a six to 12-month lag in reaching break-even relative to our initial expectations. Our turnaround strategy factors in normal currency depreciation and the hedging of remittances fall to 13 months out in certain markets. We continue to monitor currency trends carefully to determine whether they represent short-term fluctuations, which bliss businessman can absorb or a new normal which may require us to recalibrate. Slide 29 shows our core headline earnings, which is up a significant 41% year-on-year, at R2.7 billion. On the right-hand side we show the significant drivers of this performance, noting that strong trading profit in South Africa and the narrowing of losses in the Rest of Africa were the drivers of the growth. Lower realized foreign exchange losses contributed R226 million to the core headline earnings growth. Looking at Slide 30, while down 13% from the prior-year, we still generated healthy free cash flows of R2.1 billion. The graph provides some insights into the key movements. So starting from the left-hand side, in the comparative period we generated R2.4 billion in free cash flow. Cash EBITDA improved by R1.1 billion. We then saw a R417 million normalization of working capital, given the light of working capital cycle experienced during financial year 2020. Working capital can be lumpy as it is dependent on the timing of events and content like payments. Some of our EBITDA gains were offset by higher lease payments that were impacted by foreign exchange movements, and the ending of our payment holiday on our South African transponders from October 2019. Lastly, our CapEx spend increased this year, given the multi-year program we have embarked on futureproof the group's customer service billing and data capabilities. On Slide 31, we look at the strength of our balance sheet. Despite the settlement of R4 billion of dividends to MCG and minority shareholders, cash and cash equivalents are still a meaningful R7.3 billion. Coupled with available facilities of R4.5 billion, this gives us total funds available of R11.8 billion. Our facility is reduced by R500 million at the period end as a result of short-term working capital facility that we arranged through the period but has subsequently been repaid. Looking forward, our priority use of capital remains funding the Rest of Africa business and opportunities like the BetKing investment. Our strong balance sheet is welcome in this time of uncertainty as the full impact of COVID-19 is too large [indiscernible]. We have not declared an interim dividend and believe that the uncertain economic environment ranges are imprudent to commit to a full year-end dividend at this stage. However, our intention remains return excess cash to shareholders, when circumstances allow. This concludes the finance section. I'll now hand back to Calvo to share some thoughts on our outlook for the next financial year.
Calvo Mawela: Thank you, Tim. Moving onto Slide 33. Slide 33 recaps on our strong performance to-date despite the challenging environment. We have made good progress on all our strategic objectives by continuing our investment in bringing customers great content, and further leveraging our ecosystem through new products and services, whilst also investing in sports betting, and exciting high growth adjacency to our core entertainment offering. We continue to drive growth across our platforms. We reached 20 million subscriber mark for our broadcasting services and delivered 26% growth in users on our streaming platforms. Irdeto added 18 new customers in its pursuit for global stability leadership and despite everything on the goal; we managed to maintain operational excellence and delivered another R1 billion in cost savings. In conclusion, let's turn to Slide 34. We believe we're well-positioned despite somewhat uncertain times. Our product is geared towards people spending more time at home, we have a large diversified customer base and footprint and strong growth prospects with an addressable market of around 50 million households. We offer great content. We recently strengthened our offering by concluding agreements with third-party sport suppliers, and by extending key football rights for another couple of years. We have a robust business model with a healthy annuity income and a low reliance on advertising and our healthy balance sheet provides us with great financial flexibility. While the fallout from COVID-19 potential macroeconomic implications and regulatory challenges are likely uncontrollable, we're taking steps wherever we can to counter potential headwinds. We're enjoying good momentum, and certainly remain excited about the future. This concludes today's presentation. We're ready to take questions.
Operator: Thank you very much, sir. [Operator Instructions]. Our first question is from Omar Sheikh of Morgan Stanley. Please go ahead.
Omar Sheikh: Good afternoon, everyone. I have three questions if I could, please. And the first is on Rest of Africa. Back on Slide 28, you talked about R750 million of cost savings in the quarter which contributed to the narrowing of the loss. I wonder whether you could maybe tell us how much of the content savings were because of the deferred content amortization that you referred to earlier in the presentation. That would be helpful? And then also on Rest of Africa, could you let us know where we are in the path towards break-even? Is that still something you're anticipating in the next few years? That's the first question. Secondly, I wanted to ask about the South African Premium subscribers and it looks like you're currently the run rate of attrition on the premium is still around R100,000 a quarter. Should we expect that to improve in the second half as the sports comes back? Or do you think that might worsen because of the current sort of second wave of lockdowns? That's the second question. And then thirdly, just on the Vendee. Have they requested any board seats as of now? And if they were to request them, would you be open to granting them? Thank you.
Calvo Mawela: Yes, maybe let me start Tim will respond to the Vendee question. To be specific, no, they have not requested any broad seat. I think when it comes to requesting a board seat, the board will see it and consider the request if it comes through. But it will also be subject to what kind of shareholding that they have in the business at that particular point in time. So we'll see how this evolves over time. And then I'll hand over to Tim to respond to the other two questions.
Tim Jacobs: Okay. So if I understood the first question, it was in the content savings, how much of that is the timing savings? If I recall correctly, it should be around about half of that number will be timing. Remember that we managed to secure some kind of really good savings in markets like Angola where we got some significantly price downs, I think it was 30% on the local content. So some of that is kind of hard bank and some of that is timing that will roll over. Then the second question, I think was relating to the timing of the return to break-even. So, as I mentioned, I think the timing is, we're still on track with the original guidance, which was the medium term that we gave when we came to the list, when we first came to listing. But we are starting to flare, that if we continue to see currency losses like we have seen in the past two years that that might be pushed out by anything from six to 12 months, so not a significant push-out. But we're now starting to kind of the time gap to that medium term is now starting to narrow. Well, those are the two questions or was there another question?
Omar Sheikh: Yes, those are the two questions in Rest of Africa, Tim. Just wondering also about the South African Premium, whether you expect the attrition R100,000 or so run rate quarterly to half yearly rather to improve or worsen in the second half?
Tim Jacobs: Okay. So look, I mean we've been fairly consistent with premium churn in the last couple of years, at kind of between minus 3% to minus 4%. You've seen in the first half that is accelerated to minus 9%. Now, not all of that was turned off the base, some of that was simply downgrading because we didn't have a sports offering. In particular, Rugby wasn't being shown. So the second half of the year, we can't -- I mean, it's difficult to predict but we would like to think that if the resumption of sports, like we've seen football in the Rest of Africa, we've seen how the mix has got it to shift back towards where it was originally that there will be a slowdown in that kind of churn that we've seen in the premium in the first six months, as subscribers that specifically want to watch Rugby, start to kind of shift back-up to the Premium package again. So we think that there'll be a slowdown in the second half of the year, from the churn rates that we see in the first half.
Omar Sheikh: Okay, great. That's very clear. And just a follow-up, if I may, Calvo, on the board seat point you made. What is the level, what is the threshold for shareholders normally be able to request a board seat? Thanks.
Calvo Mawela: Yes, usually they start requesting board seat just over 20% of shareholders. So more or less it will be around that I think, yes, even for us.
Operator: Thank you. The next question is from Jonathan Kennedy-Good of JPMorgan. Please go ahead.
Jonathan Kennedy-Good: Good afternoon. Just two questions from me. I hear you referred to returning excess cash to shareholders when talking about the dividend. Do you have any kind of define what you see as excess now that we have the BetKing investment and significant amount of cash in Nigeria? What is your kind of benchmark that you need to see this comfortable running the business on? And then just on the South African mass markets ARPUs, I think for the last two consecutive years seems like those ARPUs are moving 7%, 8% up a year, even though there's kind of twice the average price increase, I think is that all to do with kind of bouquet enhancements or upgrades in there or you pushing products that you see driving pricing in ARPU up in that 7% or 8% range in the medium term?
Calvo Mawela: Yes. I'll respond to the second question and Tim will take the first question on excess cash. Yes, so what's happening with regard to the improvement in ARPU, you're right, we still have some pricing power in the mass segment. And the second thing that is also helping in the ARPU is our focus on the upgrades from the excess bouquet onto the family bouquet. And I think we have found the right mix in content offering in the family bouquet. What normally happens is that once we have found the right mix in terms of our offering, and as more and more people start joining word of mouth spread very nicely. And as people start talking about it on social media, of the content on social media, then you see a nice uptick of people going into the higher ARPU care within the mass segment. So we think that is working very well for us and we should continue on that strategy.
Tim Jacobs: Thank you, Calvo. If I can take the first question in. So it's not, we tend to be a little bit conservative about when we call what, where and what is excess cash. There are a number of moving parts in our business. And one of the big moving parts at the moment is the liquidity issues in Nigeria. So, we've seen from the beginning of the financial year, first three, four months, we really struggled to get any cash out of the country, we then saw a period when we were able to get about $20 million a month out of the country. And now it's tightened up again. So I think what we're going to do in the next six months is, again, one of our priority uses of capital is the funding of the Rest of Africa business. And fundamental to that is not any operational performance, but also how much cash we can expect, because the less cash we can extract from Nigeria, the more funding the group needs in order to buffer that until the money comes out. So I think when we get closer to the financial year-end, we'll have a better view, firstly, of what that liquidity position looks like on both the monthly basis, and a feel for how much forward we need to look at in terms of, what kind of buffers we need on the balance sheet. So I think when we come to the financial year-end, we'll be in a better position to give you a steer on that.
Operator: Thank you. The next question is from John Kim of UBS. Please go ahead.
John Kim: Hi, everybody, congrats on a good set of numbers, three very unrelated questions here. How should we think about investment into local and regional content? Currently, you've got about 60,000 hours in content. Is there a critical mass in the space or should we think of it more as continual OpEx, that's question one. Question two, how aggressively do you plan to market OTT-related services? So future guys call it five years, what is the mix between OTT and DTH distribution in your Premium segment best guess? And then third question, if we think about the excess cash in Nigeria it's about R8 million today, can you give us a sense of perspective, what that number have been called six, three or six months ago, I'm trying to figure out whether you're accruing faster than you're getting out. Thanks so much.
Calvo Mawela: All right. Tim, I will start on investment in local content. So our strategy is to continue to ramp-up our local content investment, and we have seen that it works really well for us, it increases appointment viewing, and therefore subscribers keep coming back. If you look at the number of markets where we have launched local content, there are still a few others that we should be looking at, that we're looking at in terms of launching local content, and it helps us in terms of the cost structure, it's denominated in local currencies. And Africans just love watching themselves on television. So we're continuing on that strategy. And that's why we're saying we're doubling down on making sure that we have local content in many of our jurisdictions. I hope that that helps. In terms of the how aggressive are we going to push OTT, we're positioning ourselves as a platform that is going to embrace OTT because we know feather down the line, broadband prices are going to improve. And when people then get into OTT, we should be a product that is top of mind in all the markets that we operate in. There is a lot of right that the only sign that the team are putting in to make sure that the product is as best as possible. The content offering is as good as possible. The recommendation engine is as fast as possible. And we're going to slow down our OTT offering. In terms of how the mix is going to shift, I think in Africa, you will still have a big number of the population that will still rely on traditional linear television for the foreseeable future. Just because OTT comes with pricing in terms of consumption on the broadband side and many people will not be able to do both, to afford both. So that's why we see it, we think the mix will still be larger population, especially in the mass market, where people are still going to rely on the linear traditional broadcasting to access all your visual services. Tim, on the excess costs?
Tim Jacobs: Yes. Let me answer it as follows. So we closed the period with $166 million of cash in Nigeria. Of the $166 million, about half of that is normal operating requirements. So we keep margin deposits for the 13-month hedges plus working capital in the business and roughly the other half of that is what we considered to be trapped cash. So it's increased about -- roughly about $60 million since the March year-end in terms of the trapped cash number, and it's accruing and that that represents probably about half the cash generation per month. So we generate probably double that number, so we're getting about half out at the moment.
Operator: Thank you. The next question is from Preshendran Odayar of Nedbank CIB. Please go ahead.
Preshendran Odayar: Hi, everyone. Thanks for the opportunity to ask some questions. Just got three quick ones. Can you give us an update on where Canal's shareholding is beyond the last update that you told us figure was about 12%? And what are, I mean do you have sight of what their plans are? I mean I know the Vendee was looking to buy the Africa business couple years ago. Are they still interested in that? And more importantly, would you consider selling your Africa business? Next question, you announced your partnership with Netflix. I just wanted to know on the other OTT players, is there an update on who else you're looking to add? Is it Amazon, Disney HBO and the like and if you can give us an update on that. And lastly, I'm just trying to understand the streaming BoxOffice, this new Explora Ultra that you guys have launched at Lycoming, I think it's like three times the price of the normal Explora, but I mean is this technology that you're too late to with the market considering that you can get like comparable Android TV, streaming boxes at a third of the price. And I’ve given some I mean, a lot of the new TVs, even the lower-end LCD TVs now come in with these apps already built-in. So I’m just trying to get your understanding on where you see that product being positioned in the market. Thanks very much, guys.
Calvo Mawela: Yes, I'll start and Tim will add. On Canal+ as to what their plans are, we do not know their plans as to where they're sitting in terms of shareholding on the last count they're sitting at the 12% mark. As to whether we will be prepared to sell the Rest of Africa business, I think the way we look at it is we have a responsibility to you as our shareholders, and whatever discussions are going to happen, if they're going to happen with Canal+ we will do what is best for our shareholders. So we'll look at it just purely on a clean understanding that we need to do, what's best for our shareholders and nothing else. That's how we look at it. On as what players that are others that are going to come in, with this particular product that comes into the market, as you know, we said the other that will come through, the only thing that we need to make sure is that we give time for particular products to, a particular player to come in and get integrated and market know that is available and get the marketing going. And then the other products that then will also follow. But I can assure you that that they're imminent, there will be others that are going to follow, we just need to make sure that there is opportunity in the market to make people aware of the product as they come in. So it will happen very, very soon. On the DStv Explora Ultra, I think if you look at it, as a set top box and consider that it does traditional linear TV, it does catch-up. It does all the other elements that we used to have in the previous Explora. But over and above that then we have increased the memory we have built in WiFi and then we are able to seamlessly add apps as and when we have agreement of other players coming into the market. That is the basis upon which is priced at that particular level. And other thing that we have decided to do with this particular product is not to introduce any subsidies as yet and that's why you see the pricing, if you compare with others that it's a little bit out of sync with what we have seen in the past. I hope that answers the question. I don't know, Tim, if you'd like to add?
Tim Jacobs: Yes, I think just on the Ultra, I think you -- it's really been taught at early adopters. And we think that the initial target market is the guy that want to experiment a little bit. But like all of our products, we'll start and then we'll have a look at the market demand. And then we'll make judgment calls about whether to introduce pricing differentials later. But, I think it's a good starting point simply to introduce the box into the market.
Operator: Thank you. Our next question is from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, thank you guys. Tim, I think this is a question for you. I just want to understand you say, on two separate slides, firstly, you say there's about R800 million of savings due to content deferment. And then in Africa, there's R750 million. It sounds like about half of that R750 million. So is it accurate thing to say? You split the deferment, basically half and half between Africa and South Africa? And then secondly, as far as normalization is concerned, is that going to happen in second half? So we grow back at R800 million in the second half of this year or does it take a longer time?
Tim Jacobs: Yes, to both your questions. So that's the easiest answer.
Unidentified Analyst: That's fine. Perfect. Thank you.
Operator: Thank you. The next question is from Nick [indiscernible] of Signal Asset Management. Please go ahead.
Unidentified Analyst: Hi, thank you for taking my call. I just want to understand the competitive relationship you have with Canal+, in Nigeria, how many subscribers do you have versus the Canal+ subscribers? And the same question for Ghana and maybe you can give some comments on the plans in Ethiopia, how you view those. And I think my last question on this issue isn't it going to be a little bit awkward if they have a board seat, and you competitive with them in Africa, how you view that all?
Calvo Mawela: Yes. Let me start by clarifying how Canal -- how the operations went between the two companies. Canal+ is predominantly in the French territories, that's where they operate in. And the relationship that we have had is that when we buy content for the Sub-Saharan Africa, then they will come to us without interpreting that content for the French territories, and we keep the English territory rights. So that is the relationship. So in Nigeria, because it's an English speaking country, it will only be asked they do not exist there. The only place where they had indicated that they would like to come in, which is a place that we have always been is Ethiopia that they indicated that they will be coming in to launch in Ethiopia. So that will be the first one where we're going to compete against each other directly from the announcement that that they made. On the board seat, I think we’ll close the bridge when we get there. But so far, they're still predominant in the French territories and Ethiopia it would be one place wherein then, a conflict can arise, especially when we're discussing Ethiopia and our go-to-market strategies with the board and all the other strategic decisions that the business will be making there, should they eventually go ahead and launch and compete with us in Ethiopia.
Unidentified Analyst: And just correct me that on both your websites, you not Ghana as a country that you provide services both on your website and the Canal+ website, Ghana is -- are they not competing with you in Ghana or out of Ghana?
Calvo Mawela: Yes, no, no, no, no not at all. So, what happens is in some countries, and I can give you an example like Cameroon, we have got some portion where there are English speaking people. Then what happens in the relationship that we have with them, they will sell our packages through their distribution channel in those particular countries. So in Ghana is where we'll in the English territories. If that area is where there is French speaking people, we will -- they will use us as the distribution partners for those French regions within that particular county. That is really how it works on a day-to-day basis.
Tim Jacobs: So, it's kind of targeted at the expected communities in these projects. So you'll get these little small and they are really small pockets of French speaking people in English countries, and vice versa, small pockets of English speaking people in the French territories.
Unidentified Analyst: Okay, okay, that's so you're not really fierce competitors can almost sound like partners and competitors at this stage. Okay.
Calvo Mawela: Yes, we've also done and you see in the last 18 months, three co-productions with them. So they will then take the French component sell it in their territories, we will take the English component sell it in our territories.
Operator: Thank you very much. Ladies and gentlemen, we have no further questions in the queue. Would you like to make some closing comments?
Calvo Mawela: Ladies and gentlemen, that concludes our conference call today. We hope you found our feedback useful. And we'd like to invite you to reach out to us, if you have any additional questions until we release our full-year results next year. Take care and stay healthy. Thank you very much.
Operator: Thank you very much, sir. Ladies and gentlemen, that then concludes this conference call. And you may now disconnect your lines.